Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:04 Good morning everyone. Welcome. My name is . Thank you Natascha, thank you Craig for this honor.  Thank you.
Natascha Viljoen: 01:59 Good morning. It’s really a privilege to have some of the old people out there today. So, I want to welcome to our presentation of Anglo American Platinum's 2021 Annual Results. And thank you for taking the time to join us here today both in the venue and also virtually. I’m Natascha Viljoen, the CEO, and I'm joined here today by Craig Miller, our Finance Director. And we have a number of our colleagues from our PGM management committee in the room as well, and our Chairman. 02:34 I would like to draw your attention to the cautionary statement, which we will appreciate if you could read in full and in your own time. Before we start, and on behalf of everyone at Anglo American Platinum we would like to pay our respects to our two colleagues, who we lost in separate incidents at or non-manager operation Kroondal mine. 02:59 Mr. Mr.  a spot head Kroondal  was vitally injured in a  mobile machinery incident on the 13th of October last year. Mr.  lost his life in a fall of ground incident at Kroondal’s  on the 27th of October. We send our deepest condolences again to their families, friends, and colleagues. 03:26 I also want to send my condolences to the family and friends of all of our colleagues who succumbed to COVID-19, and wish a full recovery to those who are still dealing with long COVID-19 symptoms. 03:41 I will begin with an overview of our 2021 performance. Now despite the challenges that came with the COVID-19 pandemic, we have delivered an excellent set of results. We had no fatalities at any of our own managed and our non-managed joint-operation Modikwa. 04:01 We've achieved a mining EBITDA margin of 35%, and we recorded refined production of over 5.1 million PGM ounces as we improved operational stability and delivered strong consistent performance at our processing assets. 04:19 As a result, and along with a record here for basket price, we achieved a record EBITDA of a R108 billion. Due to our strong operational and financial performance, we made a significant contribution to society totaling R148 billion value-add in the past year, highlighting the work we are doing to distribute value to all of our stakeholders. 04:46 In line with our balanced capital allocation framework, we are pleased to deliver industry leading returns with a total 2021 dividends of R80 billion declared. Of this, R33 billion is in relation to the second half and it equates to 100% payout of our headline earnings. Our strategy is guided by our purpose, to reimagine mining, to improve people's lives. 05:15 We have detailed our full strategic priorities and delivery against these pillars should drive value for all of our stockholders. We are building on our performance with ESG measures and continue to be a leading ESG. We are embedding this at the scent of our strategy and ensuring a healthy environment, helping create living communities and thriving communities in becoming a trusted corporate leader. 05:41 We are going beyond being just resilient as a business, and with an aim to thrive through the ever increasing rate of change. This strategic priority forms the basis of a successful execution of our strategy. 05:58 We have a world-class portfolio of assets in an integrated value chain, and we are maximizing value by pushing for benchmark performance and deploying technology and innovation to drive efficiencies and growth with targeted investments that will generate incremental value. 06:18 Finally, our market development work is fundamental to ensure a sustainable market for all of our products. We are leveraging capabilities through our market development activities and capturing value from adjacent value chains. We highlight the progress we are making in actually delivering against our strategy throughout the presentation today. 06:41 So, let's turn to our ESG performance. Undeniable, COVID has had an impact with disruption to routines and an increase in infection rates, leading to high absenteeism as our employees isolate or recover from COVID. 06:58 Due to our continuous effort to achieve zero harm, we had no vitalities at any of our earned managed operations at Modikwa. And regrettably, as mentioned, we lost two of our colleagues at Kroondal mine, and we've intensified our initiatives to collaborate with our non-managed joint operation partners to support them in their journey in safety transformation. 07:22 We did experience a deterioration in our own frequency rate to 2.6 per 1 million hours worked, though we did see a good recovery in the second half as we intensified our efforts. I'm really proud to say that we've done amazing work in implementing Anglo American’s elimination of fatalities program to focus on both engineered and humanistic solutions to address the most frequent causes of fatalities, and ensuring that these solutions are sustainable in our operations. 07:57 The health and safety of our employees go hand in hand, and we strive to ensure that our colleagues remain healthy. Unfortunately, we saw an increase in new occupational health crisis in the year, and the increase is due to lightened noise induced hearing lost cases at  because of past exposures. We continue to work on silencing all noise sources, for example, we have fitted silences on all our   customized hearing protection devices. 08:28 In addition to this there were a lot of cycle mining and  will decrease exposure to the high noise areas by more than  . Our strong focus on health has not stopped as managing COVID-19 and we continue to actively manage cases of chronic illness like HIV and TB. 08:50 In 2021, we have made a meaningful economic contribution and value add to society. This totaled almost R150 billion and included paying taxes and royalties of R35 billion, spending R28 billion on products and services from local BEE suppliers with over 5 billion of this procured from our house communities. 09:17 We invested R2billion on social and community commitments, including COVID support and paid by R14 billion in wages and salaries, and on top of that invested another R14 billion in capital projects to ensure the long-term sustainability of our operations and our ability to add value to all of our stakeholders. 09:38 Finally, we paid a R56 billion in dividends in respect of the second half of 2020 and the first half of 2021. We’ve balanced this contribution with strict capital allocation and ensuring a meaningful return to our shareholders. 09:57 As part of our culture and action work, we have zero tolerance policy for any form of bullying, harassment or victimization and we know that there’s no place for complacency in this area. Therefore, we have taken a stand to be unconditional in our commitment of creating a respectful inclusive and safer working environment to ensure that no colleague is violated or harassed under our watch. 10:26 Our systems and processes are aimed at improving both physical and psychological safety so that every employee is empowered to bring their best selves to work. Recognizing gender violence increasing and is a disappointing prevalence across our society. Since 2018, we’ve significantly increased our efforts to address gender and domestic violence. 10:51 Our work includes house communities through our living with dignity program in partnership with NGOs and community organizations. We understand that our lives and livelihoods are inextricably linked to those of our host communities. 11:12 We are proud of our contribution to society, our social investment of R2 billion in 2021, as well as our commitment to support our people through the challenges of the pandemic. 11:25 We have set 2030 targets to improve energy efficiency and reduce absolute greenhouse gas emissions by 50% against a 2016 baseline and to achieve 0 scope 1 and 2 emissions by 2014. 11:39 Our total scope 1 and 2 emissions increased to 4.58 million tons of CO2 equivalent, as our total energy requirements increased due to the addition of the recently commissioned SO2 abatement plant at Polokwane, and this plant continued to draw electricity from Eskom. 12:00 We have established a road map to reach our first target of a 30% reduction in emissions by 2030 and these are focused in three main areas. We are implementing solar PV plants to generate renewable power with construction to commence our 100 megawatt plant at Mogalakwena shortly. 12:19 We are developing our 300 ton hydrogen fuel cell mine truck and the technology will be rolled out across the rest of our fleet once proven. Business improvement and P101 initiatives are underway to make sure that our foundation is strong. As part of the work with Anglo American Group, we are collectively evaluating options to access multiple forms of renewable energy across South Africa, including hydro power and   renewable energy to the grid. 12:52 On other environmental aspects, we've almost reached our target of   to land full. At the start of the year, we still had five outstanding   to find sustainable solutions for, of which we found solutions for three during 2021. During this year, we had no significant environmental instance and we are focusing on minimizing the lower impact incidents with now a focus on no repeats. 13:24 And finally, we have set in place new water targets with an aim to reduce 50% of our water obstruction from stressed catchment areas by 2013. 13:38 Moving on to review our production performance for the year. In total, our PGM production in 2021 increased by 13% as compared to 2020. We all know though that 2020 was materially impacted by COVID. So, if we then enroll the company outperformance to 2019, and taken to account depleted all resources at Amandelbult and Kroondal, we were able to maintain our production across all of our sites. 14:09 We are realizing the benefits of a diverse portfolio of assets. And as you can see on the right hand side of the slide, we have a strong contribution to mining EBITDA from all of our own mine operations and to achieve the mining EBITDA margin of 65%. We have had a record refined production performance, refining over 5.1 million PGM ounces from our own production material. This was driven by a stable ICP performance and a consistent performance across all of our processing assets, allowing us to draw down the majority of our built-in work-in-progress inventory. 14:49 As a result, we were able to sell just over 5.2 million PGM ounces despite needing to rebuild finished goods inventory in the second half after a particular strong demand in the first half of the year. 15:05 As we maximize the value from our assets, we have been advancing new technology to drive operational efficiencies and sustainability at Mogalakwena. The bulk also at Mogalakwena North concentrator was successfully commissioned during 2021 and is now fully operational. It is earmarked that we will reject more than 5% of the low value material upgrading the feed great downstream into the concentrator. The course particle rejection plant is under construction and commissioning is expected to be completed in the third quarter this year. 15:41 It is expected that the course particle rejection will increase the north concentrator capacity by over 5%. The study is currently underway to define work required upstream to fully utilize this increase in production capacity. 15:58 Finally, and quite excitingly, we are advancing the hydrogen fuel cell truck. The power plant module, which includes a combined fuel cell stacks and battery on-site and being fitted into the truck following COVID-related logistical delays. 16:13 The modernization program at Amandelbult utilize technologies to improve safety, mind productivity and simplify operational logistics. This program will transition Amandelbult from purely conventional mining methods to a hybrid mining method utilizing a suite of modern equipment and continuous operations. 16:35 We have fully rolled out rock stop   implemented rock movement detection systems, and  has been converted into a  mine, removing fire-risk increasing efficiencies and directly contributing to a year without fatalities. 16:52 The new mining system design has resulted in illuminated de-congested workplaces. That will allow for work to be executed more safely and sequentially within a more efficient mining cycle. In areas where this has been rolled out, we have seen productivities increase by as much as 20%. 17:12 Now, this reorganization of mining teams to work systematically through the mining cycle with in-stopping horizons all contribute to this efficiency improvement. And finally, we continue with our mechanization trials with multiple technologies being trialed at Tumela East drop down, and we are incorporating learnings from our trials and global benchmarking to continuously improve the mechanized mining design and the technologies we use. 17:44 The board approved the Mototolo Der Brochen life extension project in 2021. The development of the project leverages the existing Mototolo infrastructure enabling mining to extend into the adjacent and down dip Der Brochen results, increasing the life of mine beyond 30 years. The Der Brochen  tool body will utilize the sign board and pillar, extraction, fully – extracting fully mechanized method as the Mototolo mine, and this will ensure that the mine continued to be positioned in the bottom half of the primary PGM cost curve. 18:19 The project includes development of a new shaft to replace the depleting Mototolo reserves at Lebowa and   shafts. And with the completion of the concentrated debottlenecking project in Q3 of 2021, production from Mototolo Der Brochen is expected to be 250,000 PGM ounces per annum. 18:39 The total capital investment is expected to be 3.9 billion in nominal terms. At long-term consensus pricing, the financial returns of the project are robust. It is expected to generate an internal rate of return of over 25% and payback of around 6 years from first production that is expected in late 2023. 19:07 A core pillar of our strategy is to ensure asset reliability and as a result, we are investing – the investing capital across our operations. We have highlighted before that there will be an increase in stay-in-business capital, particularly in our processing assets, as we move into an increased furnace and smelter re-built phase over the next few years. 19:29 Our waterfall asset replacement program is focused – is a focus initiative to reset the integrity of the waterfall complex assets. And these consist of two furnaces and the ICP complex. It involves the accelerated renewal and improvement of structural, civil, electrical, mechanical, and mechanical integrity of the asset to ensure safe operations. The first phase is scheduled to be completed by the end of 2024. 20:01 As you will see the investments design and care taken with the ACP resulted in a stable and consistent performance in 2021, enabling us to release the bulk of our build-up in work-in progress inventory. And this led us to achieve our record refined production performance. 20:20 I will now hand over to Craig, to take us through the financials and a market update. Thanks, Craig.
Craig Miller: 20:30 Thank you, Natascha. Good morning, everyone. It's a real privilege to be reporting this record set of financial results to you today. So, turning to our numbers. Revenue of R215 billion doubled from the prior year, benefiting from the 22% increase in the rand basket price, which was R40,511 per PGM ounce. 20:53 We achieved record EBITDA of R108 billion realizing a mining EBITDA margin of 65% and our headline earnings increased 160% to R79 billion or R300 per share. We realized the return on capital employed of 183% and the company's balance sheet remained robust with a net cash of R49, up 50 billion from December 2020. 21:22 On the back of these strong results and in-line with our disciplined capital allocation framework, the Board declared a second half dividend of R33 billion or R125 a share, which equates to 100% payout of the second half headline earnings. The total dividend for 2021 declared is R300 per share, an exceptional R80. 21:48 So, turning to EBITDA, EBITDA increased 161% from 2020 to R108 billion. This is mainly attributable to higher U.S. dollar PGM prices, which contributed R55 billion. The improved mining and processing asset performance contributed an additional R43 billion. These were partially offset by cost increases of R5 billion, due to higher input costs of electricity, fuel, labor, and consumables. 22:21 The stronger rand dollar exchange rate and higher royalties on the back of those higher PGM prices reduced EBITDA by R22 billion. We've also changed our methodology relating to the valuation of inventory, which resulted in the reduced valuation of metal inventory by R6 billion and this was partially offset by the inclusion of iridium and ruthenium as byproducts, which increased the value of our inventory by R2billion. 22:49 The mining margin increased to 65%, while the overall company EBITDA margin increased from 39% to 51%. Our trade working capital decreased by approximately R15 billion in the 12 months to close at a negative R4.2 billion at the end of December. 23:09 On the back of the improvement in the processing divisions performance and consequently the release of the majority of the work in progress answers, this inventory reduced by R8.2 billion. The increase in the value of the customer pre-payment contributed to a further reduction in working capital of R7.7 billion. This was partially offset by higher trade debtors and other price effects on working capital, taking the overall net negative value to R4.2 billion. 23:40 I’m pleased to announce that in January 2022, the company entered into an extension of our agreement with our long-term customer, extending the term of existing customer pre-payments until 2027. 23:54 Our unit costs, our unit cost performance was impacted by higher inflation with cash operating costs per PGM ounce increasing by 9%, compared to 2020 at R12,831 per PGM ounce. Higher PGM production, which was up 13% and coupled with increased mining activity contributed to a R623 per PGM ounce reduction. 24:19 However, input costs increased significantly by around 14%, due to price increases in electricity, fuel, and consumables, and the consumables is on the back of higher steel prices, as well as the oil price, as well as wage increases, which exceeded CPI. 24:38 Our 2022 unit cost guidance is between  per ounce, and 8% to 13% increase as we continue to see these inflationary pressures maintaining the momentum in 2022. 24:55 So, turning to our cash flow, the company ended the period in a very solid net cash position of R49 billion, a 30 billion increase from the prior year. Cash generated from operations was R124 billion, up 4x from 2020. These cash flows were used to fund capital expenditure and waste stripping amounting to R14 billion and taxes and royalties paid to the fiscus amounted to R35 billion, an increase of 24 billion from the prior year. 25:29 The net cash position was after the payment of the 2020 final dividend of R11 billion and the 2021 engine dividend of R46 billion. We continue to invest capital in a disciplined and balanced way, aligned with our capital allocation framework. We focus on generating cash flow from operations and maintaining balance sheet flexibility, whilst prioritizing investments in sustaining capital to ensure asset integrity and reliability, and we remain committed to the base dividend of 40% of headline earnings. 26:02 Thereafter, we assess discretionary capital options, including portfolio upgrades, additional shareholder returns, such as special dividends, and breakthrough capital and growth projects, including our ESG options. 26:18 SIB capital expenditure was R7.3 billion, and that was higher than the prior year, mainly due to the rebuild at the waterfall smelter, as well as the ACP Phase A, the replacement of heavy mining equipment at Mogalakwena, the building of the Roseburg tailings facility at Mototolo, and the capital maintenance programs at the smelter operations to maintain net asset integrity. 26:43 Life extension capital of R400 million was incurred on the developments of the 15 East section at Tumela, and the – as well as the commencement of the Der Brochen Mototolo project, which we announced in December. Breakthrough capital incurred was on the modernization of Amandelbult, the progressing of the  , our copper debottlenecking project and advancing the technology deployment at Mogalakwena. 27:12 Looking ahead, our SIB capital expenditure guidance for 2022 is between R9 billion and R9.5 billion, which is focused again on the planned re-builds at the smelters, the continuation of our asset integrity program, and additional HME equipment at Mogalakwena in-line with its mine plan. 27:33 We've highlighted that we will see an increase in SIB as we invest in our asset reliability programs. We will also invest in some non-recurring capital such as the SO2 abatement facility at the Mortimer Smelter. After this current capital investment cycle, we should see our long-term capital in SIB capital reduce to around R8 billion in real terms. 28:00 In line with our disciplined and value focused approach to capital allocation, the board has declared a second half dividend of R33 billion or R125 a share. This comprises of a base dividend of 40% of headline earnings or R13 billion, which translates into a R49 per share, and a special dividend of R20 billion or R76 a share. This takes the total payout for the year to an incredible R80 billion, or a 100% of headline earnings and industry leading dividend yield of 17%. 28:36 So as part of our ambition to be a leader in ESG, we've set out to embed ESG in our capital allocation process and to create transparency on the potential ESG impact of capital projects in our portfolio. This is involved prioritizing the ESG dimensions that we can influence through specific capital ESG capital metrics, and implementing targets that our capital portfolio will need to achieve. 29:04 We've baselined our entire capital portfolio of over 800 capital projects, including maintenance projects to understand their ESG impact. For example, on carbon emissions, water, and livelihood. 29:17 To achieve the desired outcome, we're putting in place carbon water, shadow taxes on non-growth projects, as well as boundary conditions for other ESG dimensions. We're going one step further to ensure that our portfolio is explicitly optimized to meet those ESG targets. This process has already led to changes in how we allocate capital. 29:40 For example, energy efficiency, and water reduction projects have been prioritized and now have been allocated funding. And several projects have gone through a process to minimize additions to our capital footprint. 29:55 So, turning now to a review of the market. 2021 was another year of price records for PGMs with all-time highs for the PGM basket price. Rhodium once again led the way, gaining 79% year-on-year. PGMs averaged higher in 2021 than in 2020. The minor PGMs iridium and ruthenium made significant contributions. 30:21 On average, the U.S. dollar PGM prices hit a record in the first half, and while weakening in the second half still remained at levels higher than previous periods. These movements in PGM prices largely reflects the events in the auto industry. 30:40 So, as the largest consumer of PGMs, I'd like to spend a bit of time on the chains in the automotive industry. Demand was expected to be very strongly in 2021. After a robust start to the year, a shortage of semi-conductor chips saw that automotive production for short of expectations by approximately 11 million vehicles. The biggest impact came in the second half of the year, which depressed PGM demand. 31:08 Automotive analysts expect 2022 and 2023 to recover, as the chip shortage eases forecasting large increases in auto production, which will translate into higher automotive – higher PGM automotive demand. 31:25 Of course, the future is always uncertain and a potential downside risk, but we see three key reasons to be confident in these forecasts. First of all, auto production was already improving at the end of 2021. The demand forecast is high. Just look at the significant increase in second hand car prices, and automakers will need to rebuild their inventory after running it down – after running down stocks over the last number of years. 31:54 So, in the short to medium term, the improved auto demand outlook should tighten the supply demand balances pushing the three e-surplus in 2021 back into a deficit. Platinum in 2022 is expected to be in a narrow surface, a substitution for palladium and hydrogen related demand will help shift it into a deficit in the next few years. 32:22 Palladium will be in a larger deficit in 2021 and remain in deficit over the next few years. And after a surplus in 2021 rhodium will move closer to balance in 2022, and thereafter being a deficit. 32:38 So, nonetheless, we do see challenges as we head into the long-term. Battery electric vehicles, which do not have any PGM catalyst are taking an increasingly large share of vehicle sales, which will reduce PGM auto catalyst demand. We've indicated on the chart the impact of a 30% to 35% . 33:01 In addition to our efforts in other sectors, to increase demand through market development, we see three factors helping to soften the impact to automotive demand up to 2030. 33:13 Firstly, higher vehicle production, both due to the post-COVID, and trip recovery and the long-term growth trends for vehicles will continue. The rising loadings of PGMs per vehicles as emission standards continue to tighten and real world testing is enforced, and finally, we're confident that the fuel cell technology will start to ramp up, initially from heavy duty vehicles leading to an incremental PGM automotive demand. 33:41 So, thank you. I'll hand you back to Natascha.
Natascha Viljoen: 33:48 Thank you, Craig. Craig has pointed out that we do have challenges in and uncertainty in our markets, and we are certainly not waiting for that to transpire without taking the necessary steps to impact that future market. 34:04 So, let's look at our market development activities. The hydrogen economy continues to grow and remains an important future market for our metals. In the mobility sector, hydrogen fuel cells are specifically competitive in the heavy duty truck and bus segments and those segments could represent upwards of 2 million ounces of annual demand. Well, if we only assume a penetration of slightly over 10% of passenger cars, it could account for almost 4 million ounces of annual platinum demand. 34:37 Automotive fuel cells are not the only outlet for our metals in the hydrogen sector though. Our metals are critical enablers of several parts of the hydrogen value chain, including the production, the transport and storage, and in the end use applications. Premium electrolyzers for example and create sizable demand for both platinum and iridium. We continue to support the growth of the hydrogen economy as we have done with great success for over a decade. 35:08 Today, we have a wide range of inter-linked complementary initiatives all of which work together to drive down the cost of delivered hydrogen and accelerate the uptake of fuel cells in the automotive sector. 35:23 Our market development activities are not only about hydrogen and platinum. Our objective is to create and sustain resilient demand for all of our metals. With regards to palladium for example, we have several existing initiatives in place and more in the pipeline to develop new applications over the medium and long- term. This includes exciting opportunities in computing, specifically the use of PGMs in alternative memory architectures. 35:55 With our partners in-line battery, we are pursuing the development of next generation batteries, such as lithium sulfur, and lithium A, as well as including palladium in today’s lithium ion batteries to greatly improve energy density of these batteries. 36:13 In addition to computing and batteries, which together could amount for several million ounces of demand together with our partner Alloyed, we have created the capability to rapidly explore and develop new alloys incorporating palladium. 36:30 Jewelry remains an important demand driver for platinum still accounting for well over a million ounces of demand annually. In addition, jewelry reminds the one segment where investment in market development results in demand response in the short-term. This sector is also one that requires a coordinated multi-pronged approach to stimulate demand. To this end, we are expanding our efforts in jewelry in a number of areas. 36:58 We're developing a superior platinum 950 alloy, that deliver better quality product while making it easy and more satisfying for a jeweler to work with. The development of additive manufacturing technology using platinum powder is optimized for the use in 3D printing. 37:18 We’re exploring alternative business models targeting new previously untapped consumer demands, and finally, we are continuing to build exclusive consumer focused brands that directly stimulate retail demand and positions platinum as a jewelry metal of choice. 37:37 Let's turn to our portfolio. We’ve said a couple of times today that we have a unique and diverse portfolio of Tier 1 assays. We have the largest PGM resource globally, and each of our assays has a large resource, which supports long-term life of mine. 37:56 Each of these assets has a different PGM pro-split base metal content and other co-products which creates a diversified portfolio of commodities that we mine. This enables us to take a portfolio view, whilst considering our integrated value chain to ensure we optimize value. 38:18 Mogalakwena is a long life asset and requires holistic and long-term approach to its development. During 2021, we completed the resource development plan, which has confirmed the pathway to value that is unlocked through the 6 key integrated work streams we have been talking about for a while, and it also identified opportunities and focus areas. We continue to make significant progress in all 6 of these work streams. 38:47 Let’s firstly look at communities. We've increased our engagement to develop open and transparent relationship with our host communities, and a process to address both value protection and value creation for these stakeholders. 39:02 The updated mine plan indicated the need to access land and consequently we started to engage with relevant communities on potential resettlements. As an alternative to the more rapid expansion of the open pit operations, we are investigating the development of an underground operation, whilst optimizing open pit operations. 39:23 The development of an underground operation will allow for a number of things. Firstly, more targeted mining of the resulting and reduced cost and wise to access the all. It will have reduced surface impact and therefore less of an impact on communities and the environment, and the use of new mining methods will make the use of a world-class mining practices and make our underground mines safe. 39:53 In this regard, we have already commenced with the development of twin exploration declines with a capital cost of R2.1 billion approved in the past year. The one decline will be developed utilizing a tunnel boring system that is on-site and has commenced operation. 40:11 Site establishment for the development of the second tunnel through modern drill and blast methods is underway. In addition to this, we’ve increased service drilling in 2021 and completed 60 kilometers of drilling with another 120 kilometers of drilling targeted for 2022. And this is all to develop our understanding and the mine design of an underground mine. 40:37 We are progressing with implementation of technology at our operations as we have mentioned earlier. 40:45 Now, we are accessing the configuration of a new concentrator. And the feasibility study is indicating that a new concentrator of around 6 million tons per annum with a design to allow for flexibility to accommodate various technologies have great input feeds provides the most attractive option when we consider it across a number of values metrics. 41:07 The earliest date this capacity is required is in 2026 and that gives us time before we need to make a capital decision targeted at the concentrator. The resource development plan further indicates bottlenecks in our downstream processing and these requirements can be addressed through a combination of technical options and commercial solutions. As such, we are progressing a feasibility study to debottleneck the ACP. 41:34 Lastly, the future of this mine will be developed of the foundation of achieving P101 of benchmark performance. We are committed to developing this world-class asset and our approach allow for incremental value based capital steps to be taken, allowing for optionality to respond to market cycles. There's clearly more work to be done than just taking a decision on the concentrator and as you can see, we’ve made significant strides in each of these, in the last year. 42:10 In addition to the quality of the mineral resources of our mining complexes, we have quality processing assets with over 50% of global integrated processing capacity. By leveraging our leading capabilities across the integrated value chain from mining to marketing and market development allows for an end-to-end value optimization. 42:34 We are evolving our thinking for each of the mining complexes to develop their pathway to value. And by understanding the full potential of the resource and inherent optionality, we can optimize the material flow through our processing facilities to maximize total value creation. 42:56 To end, we continue to focus on delivering our strategy through our four strategic pillars. To ensure we achieve our purpose of re-imagining mining to improve people's lives. Our targeted outcome is to ensure a shared value benefit to shareholders and our broadest stakeholders and we continue to track our delivery against our value creation outcomes. 43:21 That concludes our presentation today. And thank you once again for joining us both in person and virtually. I will now hand over very to Emma Chapman, our Head of Investor Relations to facilitate the question-and-answer session for us. Thanks Emma.
A - Emma Chapman: 43:36 Thank you, Natascha and good morning, everybody. We are going to go into the Q&A session and we've got three ways in which you can ask questions. We will prioritize all of those who have come in person, given you have done an extensive safety induction and COVID test, so thank you going through that. But we've also got opportunity for people to ask questions through the webcast and also on the conference call. 44:04 So, to start, I will see if there are any questions in the room. Chris Nicholson?
Chris Nicholson: 44:19 Good morning Natascha, morning Craig. So, nice to be able to see you in person. It's Chris Nicholson from RMB Morgan Stanley. A couple of questions, but let's maybe just stick to one. So, can we talk to the downstream part of the business, specifically base metal in the smelting and refining side of things? It looks like from your strategy update you put out in December that this is going to affect metal availability, as soon as 2023 on the Polokwane rebuild, you've also just talked to technical solutions, and I guess other commercial options, maybe just unpack that a little bit? Do you think that there will be some commercial solution that potentially could come through by as early as 2023 to help alleviate that inventory build? Number one. And then maybe number two, linked to that, I hear you talking about the debottlenecking of ACP, is that where the constraint is or I previously understood that the base middle refining capacity was the real constraint? Thanks.
Natascha Viljoen: 45:13 Thank you so much, Chris. I will invite Craig to add at any time. So, probably two points to your question. The one is in the short-term and the one is the medium to longer term. In the short-term, we are going into a 15 year rebuild of Polokwane smelter. We originally planned that   to be early in the year, due to certain COVID constraints, we can only do the re-built lighting in the year, which will impact our ability to work through our work in progress that we will build, whilst Polokwane smelter is of for its rebuild this year. 45:49 So, the whip that you see both in this year and that will be – that will come out in 2023 is predominantly due to the fact that it is Mogalakwena concentrate things smelter to Polokwane, we know that it's low grade high-build smelter load, and that we will release that again in 2023. 46:09 Chris you might remember in the previous presentations we did comment a couple of times that we are going into a high rebuild cycle, and we did work as we've seen through the smelter matt, stock that we build and we will now over the next number of years with the capital spend that you see both stock in various areas in the pipeline that we need to deplete. So, that's probably focusing on your short-term question. 46:37 Your medium to longer term question is, we know that Mogalakwena is a high-base base metal operation. And as mentioned, the resource development plan did indicate that we can maximize value by targeting certain bottlenecks in the downstream processing. So, the debottlenecking of ICP will take us to 262,000 tons and will allow us to just maximize any potential value out of that as we see it in the life of asset plan. 47:10 On the longer-term, there are areas in our base metal refinery that we do need to address, and some of the commercial solutions that we are exploring would be the production of battery grade nickel sulfide and that could be options that we could explore with joint venture partners as an example. So, those all are currently underway, but will only really see and will be aligned with how we think about the future of Mogalakwena. 47:42 Anything else? Okay.
Arnold Van Graan: 47:49 Hi, it’s Arnold Van Graan from Nedbank. It's a question on CapEx for Craig. So, you talked about the elevated capital this year next year and a lot of it has to do with the rebuild. But my question is, is there element of some capital items being brought forward out of the normal cycle, just given the of the balance sheet and the state of the businesses in? So that's the first question. And the second one is, are you seeing significantly higher inflation when it comes to capital items than you are on working cost and normal working cost, especially on your rebuilds where it's quite specialized and assume a lot of that involves foreign companies and stuff being important? You can just give us some more color on that. Thank you, Craig.
Craig Miller: 48:32 Perfect. Thanks. Yes, it's a look. I mean – and despite my colleagues best attempt to bring capital forward, no, we don't allow it. No, but we are disciplined and that's, we are disciplined around how we do the assessment and making sure that we've got the projects properly  , understood, etcetera. I think if anything because of COVID and the disruptions that we’ve experienced, we’ve had to move some stuff later into the, sort of the execution rebuild, but the focus is very much around that asset integrity and that reliability, and that's what some of the driver is there. 49:07 And we're investing heavily in structural steel replacements. We're looking very significantly in mechanical upgrade, electrical switch gear replacements, etcetera. So, a lot of that is taking place now, and we have to do it. We need to do it for the long-term sustainability of the business. 49:27 In terms of your escalation, we've seen roughly around about a 17% increase in capital escalation in the year, and that has been both into our forecast. And clearly if we continue to see escalation in steel, which is up sort of 50% in the year that will have an impact. And as I said, the COVID related delays in terms of people's ability to be able to execute projects is a factor and that has driven up some of the increases that we're seeing today.
Emma Chapman: 49:57 I've got some questions here that have come through from the webcast and there's quite a few capital related questions. So, perhaps you should stay off there, Craig. The first question has come through from  who asks, what proportion of the guided CapEx to 2024 is related to the emissions reduction roadmap?
Craig Miller: 50:21 So, there is some capital in the budget for some of those ESG projects that I've spoken about. However, it’s important to think through as you think about the decarbonization and I'm going to use the Mogalakwena 100 megawatts solar plant as an example. Is that we don't necessarily need to do that ourselves and bring that onto our own balance sheet, we can get a third party to do that, and then we’ll obviously be an off-taker of the supply. 50:48 So, we're working through a number of the options in terms of how do we ultimately achieve it in terms of their capital reduction and clearly we will be working with Anglo American Group in terms of how they – also seen that road map in terms of the 30% reduction and ultimately carbon neutrality, and our investments in renewables in the next few years, but if some capital that's around about R1 billion to R1.5 billion, which is ESG specifically related. Is that it on capital.
Emma Chapman: 51:20 No, there's capital questions. So, perhaps – I've got three questions that have come through from  . The first question is, can you confirm that the guide 3 billion to 4.5 billion waste stripping is all Mogalakwena?
Craig Miller: 51:37 Yes. That’s correct. Don’t have any other massive open pit operations.
Emma Chapman: 51:44 Two, is the non-recurring SIB CapEx, the processing plant CapEx or is there anything else that is in that non-recurring?
Craig Miller: 51:54 So, the majority of it is in processing. As I pointed out, there is some ESG capital, which is included, but the majority of that is in the processing division. If you just think through what I mentioned, the more to a smelter, implementing the SO2 abatement facility, once that's implemented, clearly that's not something that we need to repeat. So, those types of things that are included in the nonrecurring capital.
Emma Chapman: 52:21 And the final part of the question is, what makes up the expansion and breakthrough capital that's approved in the guidance period?
Craig Miller: 52:30 So, there’s two components really to that. One of them relates to the exploration decline and work that we have and the way at Mogalakwena. Natascha spoke about that. It is about R2.1 billion included in the budget for that. And then the other one is really completing the debottlenecking project at the IBMR. I’m trying to think through some of the others. Maybe you come back to you. Sorry, I'm working through the mechanization of Amandelbult as well.
Emma Chapman: 53:08 I'm going to do another question  offered at the podium, another question . He asks, can you please comment on the customer prepayment and the extension, do the terms remain the same?
Craig Miller: 53:22 So, the terms remain broadly the same. As I've said, we've extended it for another five years, and they are as you know, part of the customer prepayment relates to the, sort of the metal, which the customer wishes to procure and those are necessarily finalized on an annual basis, and so that'll continue into the new agreement.
Emma Chapman: 53:45 Alright. Thank you. Got a couple of questions, perhaps for Natascha now. From  who is specifically asking about Mogalakwena, he’s got two questions and he says, well done on your results, fantastic. Could you give us an idea of where Mogalakwena production level will be by the time your new concentrator is ready?
Natascha Viljoen: 54:12 Thanks for that question,  . We have previously spoken about a range that could constitute the potential expansion at Mogalakwena with lower end of about 300,000 ounces, additional. I think what's important to recognize from the 6 million ton per annum, kind of indication that we are targeting for the concentrator that will be on the lower-end, but what's important about it – initially, it will be a small expansion, and it will be enhanced by considering that an underground mine will give us higher feed grade and lower volume. 54:49 That's one of the reasons why it's important for us to target a smaller concentrated to start-off with give. And then technology applications, so the design has been done in a way that we've got flexibility to dial into the technologies like  all sorting, all course particle recovery or rejection as we mature those technologies.
Emma Chapman: 55:13 And I think you've basically answered the second question, which is, will the underground mine at Mogalakwena represent replacement or expansion ounces?
Natascha Viljoen: 55:23 And I think it's a combination of both. And that's the beauty of the way that we're thinking about feature of Mogalakwena at the moment. It's building optionality for us to build a strong buys and then have options on how big we want to go. And I think what's important for me about that is in a world that we are understanding still how the transition of the drive trying will develop, I don't have any doubt that hydrogen fuel cells will apply a role. The question is, how that transitional will take place? It will give us the optionality to dial-in or dial-out out capacity.
Emma Chapman: 56:03 Thank you. I can see that we've got some questions on the conference call line. So, can I please move over to Chorus call just to facilitate those questions.
Operator: 56:14 Thank you, Emma. The first question comes from Patrick Mann from Bank of America. Please go ahead, Patrick.
Patrick Mann: 56:21 Hi, good morning. Thanks very much for the opportunity. The first one is really easy as probably for, you've got R49 billion in net cash and your second half dividend is 33 billion. Can you just talk about whether there's any reason to hold back some cash on the balance sheet or is this a kind of working capital level of cash that we should think about going forward? That's the first one. And then the second one, I think is a follow-up to Chris' question on the debottlenecking downstream. I mean, look at your mining EBITDA margin at 65%, does it make sense to be accepting third party material into your POC and toll business and basically using up the smelters at a lower margin than what you can mine at? I mean, isn't the quickest way to debottleneck your downstream to shrink your processing and tolling business? Thanks very much.
Craig Miller: 57:16 Okay. I'll take the easy one Patrick. With regards to the cash. So, yes, 49 billion of cash, 26 billion of that is the customer prepayment. So, I don't know, 23 odd billion is our own cash paying at the 33 billion and so we will utilize all of that 23 billion and then like some of the cash that we generate both in January, February, and March. And so, no, I mean, we think that the, sort of the dividend is absolutely in-line with our capital allocation framework, and I’m very pleased to be distributing R8 billion in the year.
Natascha Viljoen: 57:55 I think, thanks for that. Patrick, as to the downstream processing, as you would be familiar with, we've got a couple of contractual agreements on tolling and purchase of concentrate agreements. These agreements all allow for end of term agreements and options at certain times. Every time these opportunities come up, we do evaluate them against capital framework against the margins against our forecast on them on the markets, and that will guide our decisions on how we take those – how we make use of that specific opportunities in the contracts.
Patrick Mann: 58:36 Thanks. Okay, but just to be clear, there's no, kind of desire to specifically go after that as a way to free up capacity? It sounds like you're happy with the mix between POC and your own mining and more likely to be, sort of infrastructure debottlenecking rather than changing the mix? Is that a fair assumption?
Natascha Viljoen: 58:58 I think it's a balanced assumption, Patrick, if I may. We will continue. So, as we understand the capital requirement for debottlenecking that would be tried off against opportunities that we have in the commercial side, we also look at our own potential tolling of nickel product for instance, as I've mentioned. And I think it's important the feasibility study is evaluating all of that optionality for us. So, I think the overarching answer is we will continue to drive for the highest value that will give the money back to our shareholders.
Patrick Mann: 59:33 Great. Thank you. Makes sense. Thanks very much.
Operator: 59:36 Thank you. The next question comes from Adrian Hammond from SBG Securities. Please go ahead, Adrian.
Adrian Hammond: 59:44 Good morning, Natascha and Craig. I've got a question for each of you, and I think I'll start with Natascha and to give you some time to think about this question and then I can ask Craig a follow-up. So, for you Natascha, firstly, congratulations on a good set of numbers and a good  performance. But I'm looking at your flagship operation and as a flagship producer on the cost curve getting particularly worried about Mogalakwena costs, which are up 30% year on year. And I appreciate your strip ratio has gone up from 4.8 to 6.3, what is the outlook for the strip pressure over the next five years and is this influencing your thinking around the mine plan? And related, I notice your life of mine status for Mogalakwena  plus, I thought it was always a lot more. Has there been any changes to the reserves there? And while you think about that perhaps for Craig, just very interested in your commentary about the market outlook for loadings, you're saying flat to down this year. Can you reconcile that with  in India and ? Thanks.
Natascha Viljoen: 61:15 Thank you, Adrian and those are very good observations. Firstly, we are expecting mining inflation with increased stripping ratio coming through to Mogalakwena. The work that we have been doing is to understand how we optimize the current bit with minimum or within the constraints of environmental impact and our relationship and impact on our communities. 61:38 So that is all impacting. That mining inflation and constraints are a portion of the impact. The other impacts, inflationary impacts Craig has commented on earlier. I think what's important then to consider is, how do we take it forward? If we were unconstrained from a social and an environmental point of view, we would have considered that as an alternative option to make sure that we remain at the bottom-end of the cost curve. 62:06 The way we’re thinking about the alternative as an underground option is to the kind of mining we are targeting is to obviously limit that surface impact we’ve spoken about and continue to drive the mine down the value chain. I think it's an important consideration that is both from scale, the type of mining and then the portfolio of products that we will be delivering that will all be driving that mining margin that we are considering. 62:33 And I think to your point, part of the resource development plan is to optimize against all of these. As an example, we've said that a third concentrator will not be major expansion because part of that consideration as an example would be the cost of running a sales concentrate and the benefits of improving recoveries out of a new technology plan. So, all of those considerations, targeting costs and making sure that we keep costs at the lowest end of the cost curve went into the  as well as the life of asset work. 63:10 I hope that answered your question, Adrian?
Adrian Hammond: 63:13 Yesh. Thanks and just on the reserves, have there been changes at all?
Natascha Viljoen: 63:18 Yes, the reality is, if you look at unproven reserve face more than a 100 years life. So, we’ve pulled back to what our resource and reserve statements are indicating. Nothing has changed from that point of view. They were marginal changes. That's a part of our normal price. That’s in our resource and results statement, but it is nothing else than that. But if you look at it unconstraint, there's more than a 100 years life in that asset.
Adrian Hammond: 63:45 Thanks.
Operator: 63:50 I mean Adrian, do you have any further questions?
Craig Miller: 63:53 I just need to respond to Adrian on the loadings. So, Adrian, so certainly, look we do see clearly with the introduction of your 6 China, 6A, 6B etcetera, those have all necessarily come in and what we've recognized and I think we've said this previously is, a lot of the auto manufacturers, sort of, particularly in China or you started implementing those well ahead of the introduction in July 2021. You do see 6B in China coming in 2023. We think a lot of that's already into the market. 64:30 So, necessarily the changes in legislation, not necessarily having a significant impact in the next few years, although we think   being released in March, and implemented, sort of in 2025, we will see how that impacts PGM, impacts legislation and the response then from a PGM perspective, but what we do see is the real world driving testing continuing to require to utilization of PGMs and limited thrifting taking place. I think that's really where we've got to the position, but ultimately those high loading is taking place into the future, which will continue to support PGM demand after 2030.
Adrian Hammond: 65:19 Interesting. Thanks very much.
Operator: 65:23 Thank you. The next question comes from Dominic OKane from JP Morgan. Please go ahead, Dominic. Dominic, you may proceed with your question. If your line is muted, please unmute your lines to compose your question. Unfortunately, we cannot hear anything from Dominic’s line. The next question comes from Leroy Mnguni from HSBC. Please go ahead, Leroy.
Leroy Mnguni: 65:55 Hi, good afternoon, everybody. Thanks for the opportunity. My first question is on the customer prepayment with the extension, have you noticed any notable changes in the composition of the metals in terms of the mix across the PGMs? And then just interesting to find out, how the current rainfall is impacting production at Mogalakwena? Are there any concerns if the current levels of rainfall will persist? And then the third one is, Natascha, maybe if you could please comment on the reliability of the processing assets we've seen, one of your peers sort of coming out and saying that load shedding has taken its toll on the smelting operations, are you seeing something similar? Has that informed some of the need for the maintenance that's coming up in the next two years? And maybe just also, are you sort of expecting to have longer periods of maintenance as a result of that, please?
Craig Miller: 67:16 Okay. I'll deal with the customer fee payment. So, sort of the customer prepayment, clearly obviously the terms are confidential, but we're not seeing a very significant change in terms of demand for metals. Certainly, in the near-term. And then obviously given the length of the contract and is an ability for the parties to be able to review that metal between – the quantum of that metal into the future, but at the moment, no significant changes and the amount of metal that we’re supply them, absolutely broadly in-line with the, sort of the minimum and the maximum levels that we have.
Leroy Mnguni: 67:56 Alright. Thanks Craig.
Natascha Viljoen: 67:59 Hi, Leroy. So, yes, the Eskom does impact us and end of the day, we are part of an intensive user group that requires us to reduce our utilization. What we have seen in the last year due to some of our furnace rebuilds because we are required to reduce from our baseload at the time of the reduction requirement is that when we don't – when you do have furnaces down for rebuild that obviously reduce our base load. 68:34 So, in the last year, we saw about 9,000 ounces of impact from that. Does that re-line anywhere from our thinking around the maintenance? No, it's not. This maintenance and I think Craig has touched on it a little bit earlier, has been really carefully considered. 68:52  and his team has done a lot of work to really understand the requirements of all of this maintenance that we need to do. We've matured our engineering plan significantly from moving it out of concept wise into a high level of engineering to be able to implement it. 69:11 And we feel quite confident that we – to Craig’s point that we understand the work that we need to do and we'll be able to deliver against that. So, certainly, not necessarily Eskom related, but rather really understanding where our assets are and the work that we need to do.
Leroy Mnguni: 69:33 Thanks Natascha. And then just on the rainfall at Mogalakwena.
Craig Miller: 69:38 Gary was giving me some – the rain. We have seen some impact at Mogalakwena, specifically in January. We have seen high amounts of rain there in the pit. And we continue to de-water. I think the team has been well prepared for that, we've seen one in 50 year events in January. And considering that amount of rain, the team where prepared to – was prepared to respond quite well.
Leroy Mnguni: 70:13 All alright, perfect. Thank you.
Operator: 70:17 Thank you. The next question comes from Dominic OKane from JP Morgan. Please go ahead, Dominic.
Dominic OKane: 70:24 Hello, guys. Hope if you can hear me? Just a couple of quick follow-up questions. Again, just came back to CapEx. Given the pre-existing range for the CapEx, R13 billion to R23 billion, and you've got greater visibility on the project scope, can you just confirm that what you're seeing in terms of inflationary pressures still how do you comfortably inside the previous R13 billion to R23 billion range? My second question is, on the long-term contracts with , can you just maybe give us some confirmation about how the notice period works unto the new contracts? And then final question on your unit cost guidance for the group for 2022, can you just help us unpack that a little bit and specifically Amandelbult? How should we think about unit cost for Amandelbult for 2022? Thank you.
Natascha Viljoen: 71:30 Do you want to…?
Craig Miller: 71:38 Yeah. So, hi, Dominic. So, just a couple of responses I think to your questions. I'll start with the  POC and toll agreement. So, under the agreement that we have,  may give as two years notice any time up until 2026. I think it is that their wish to exit the arrangement, and then the arrangement expires in 2026 and then the parties would need to get together again. So, hopefully that answers that one. 72:11 With regards to the Mogalakwena, future of Mogalakwena CapEx that's at the moment, it's still within in the range, and clearly, obviously, as we work through the 6 work streams and how we sequence what the work needs to be done, and understanding, sort of the impact we will continue to iterate that for the moment – there is nothing new at the moment, but it's clearly something that we need to work that we're working on, as part of the 6 work streams. 72:37 And then Amandelbult’s unit cost, I think Amandelbult’s unit cost, we, clearly, obviously, and we've seen the impact of COVID coming through. We do have a number of bits of infrastructure that are coming to the end of its life. So, we probably see those unit costs coming in and escalating broadly within inflation, sort of, CPI plus 2% or 3%.
Dominic OKane: 73:09 Thanks.
Emma Chapman: 73:16 Okay. I think, I will ask one last question that’s come through from Ian Rossouw at Barclays. Craig, can you please confirm that no CapEx is included for Mogalakwena expansion over 2022 to 2024, apart from the exploration decline and study costs? And the follow-up question is, when do you expect to approve the project?
Craig Miller: 73:43 Okay. I’ll deal with the first one. So, yes, absolutely, as we’ve articulated, the CapEx, which is currently within growth for Mogalakwena is really relating to the exploration work that we have underway, that links to the exploration decline and that is included. And it's about 1 billion this year and another, sort of billion in 2023. And then obviously also progressing the, sort of the 6 work streams, and as we work through the scope and completing the, sort of the various elements of the feasibility study, but until that project is approved, and until all those streams are approved, and we've got that plan implemented we’ll then continue to update the growth CapEx.
Natascha Viljoen: 74:29 I think probably a couple of things in that question on when we will approve the project? I think I want to remind us all that the project it does actually have 6 work streams, and we have continued to approve capital on other areas in the 6 work streams. So, when we're talking about approval of capital in disguise, I’m talking about the concentrator specifically. We have until the end of the year to take that decision. The   need to start early next year for us to have the concentrator available in 2026. But I do think it's just important to consider that we have actually approved a number of tranches of capital to develop this project.
Emma Chapman : 75:15 Perfect. I think we will close out the Q&A session there. Thank you very much everybody for joining us today. And if there are additional questions that come through, we'll make sure to get the answers back to you, but from Anglo American Platinum, thanks very much everyone.